Company Representatives: John Hewitt - President, Chief Executive Officer Kevin Cavanah - Vice President, Chief Financial Officer  Kellie Smythe - Senior Director, Investor Relations
Operator: Good day and thank you for standing by. Welcome to the Matrix Service Company Conference Call to discuss results for the First Quarter Fiscal 2023. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions].  I would now like to hand the conference over to your speaker for today, Kellie Smythe, you may begin.
Kellie Smythe : Thank you. Good morning and welcome to Matrix Service Company’s first quarter fiscal 2023 earnings call.  Participants on today’s call will include John Hewitt, President and Chief Executive Officer; and Kevin Cavanah, Vice President and Chief Financial Officer. The presentation materials we will be referring to during the webcast today can be found under Events and Presentations on the Investor Relations section of www.matrixservicecompany.com. Before we begin, please let me remind you that on today’s call, we may make various remarks about future expectations, plans and prospects for Matrix Service Company that constitute forward-looking statements for the purposes of the Private Securities Litigation Reform Act of 1995.  Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors, including those discussed in our most recent annual report on Form 10-K and in subsequent filings made by the company with the SEC. To the extent we utilize non-GAAP measures; reconciliations will be provided in various press releases, periodic SEC filings and on our website. I will turn the call over to John Hewitt, President and CEO of Matrix Service Company.
John Hewitt : Thank you, Kellie. And good morning, everyone. And thank you for joining us. Today is the day the United States is holding its midterm elections. Let’s remember the voting is the right not afforded to so many people elsewhere in the world. Regardless of your party affiliation, get out and vote, make your voice heard. This coming Friday, November 11 is also Veterans Day in the U.S. and Remembrance Day in Canada, Australia and elsewhere. It’s a day that has been set aside since the end of the First World War to honor our military veterans and give thanks for their willingness to sacrifice for the common good. I’d like to thank the men and women of our military for their dedication and commit to keeping us all safe. Now to our business update. During our last earnings call, we spent substantial time reviewing the key macro-drivers to our markets as well as our project opportunity pipeline and confidence in our strategy and outlook for the future. We also stated that we expected to see a significant near-term uptick in project awards.  I’m pleased to report that our expectations are unfolding as reflected in the awards of $235 million in our first quarter, which resulted in a book-to-bill of 1.1, and in month of October, we have already received awards of $150 million. Project awards in the first quarter were the second highest we have achieved in the last eight quarters and backlog is the highest it has been in over two years. In Storage and Terminals Solutions where we are seeing the largest individual opportunities, our first quarter book-to-bill was 1.7 on awards of $132 million. Included in these awards is a large-scale specialty vessel for a long-standing client. In our Utility and Power Infrastructure segment, our book-to-bill was 0.9 on awards of $43 million, the majority of which is for electrical infrastructure work. Finally, in Process and Industrial facilities, our book-to-bill was 0.7 on awards of $60 million. Among the projects received during the month of October, are two large capital awards, these projects, which will be included in our second quarter backlog include a second large-scale specialty vessel of similar size and scope as that received in the first quarter and the upgrade of an existing LNG Peak Shaving facility for a large public utility located in the Mid-Atlantic region which was recently announced by press release. These projects, which are only a portion of the awards expected in the second quarter are very encouraging particularly since these types of projects provide better margins, cash flow and long-term foundational support to our backlog. As we discussed in our last call, concerns about energy security globally and reliability domestically have come to the forefront to drive many of our clients spending decisions. Also, the call to action for cleaner forms of energy and renewables is a strong driver of spending. We continue to see increases in our project opportunity pipeline, and as of September 30, this pipeline has increased to $6.5 billion.  Our clients low carbon objectives are evident in the types of infrastructure projects that comprise most of our opportunity pipeline. These projects, which include increased infrastructure investment supporting LNG, ammonia, hydrogen and other renewable fuels as well as midstream gas and electric infrastructure all projects that Matrix is well equipped to support. From an operating perspective, first quarter results which Kevin will discuss further, continue to underscore the increasing momentum in our business.  We expect this momentum will be reflected in improving performance as we move through the fiscal year and beyond. Based on the commitment of our people and their attention to quality, the benefits provided by our streamlined organization and increasing volume of quality projects in both backlog and the opportunity pipeline, we are confident in our ability to deliver.  I will now turn the call over to Kevin to discuss our results. And then we will open for questions.
Kevin Cavanah : Thanks, John. Before I review the first quarter, I want to start by reminding everyone about the three issues that impacted our results in the prior two fiscal years. First, the competitive environment the last couple of years resulted in a temporary reduction in the margin opportunity of awarded work.  Second, our revenue volume being insufficient to fully recover construction overhead, which has negatively impacted gross margins. We right-sized our overhead to fit the opportunity pipeline in front of us, but the timing of those awards is only now catching up with the projected revenue level.  And third, increased forecasted cost on certain projects during fiscal 2022, which were competitively won and then executed during a very difficult environment created by the pandemic and its resulting disruption to supply chain and other business conditions. All three of these issues have negatively impacted our gross margins and profitability. As I go through the first quarter results, I will discuss how we are progressing on each of these issues. Our first quarter revenue increased to $208 million which is up 24% in the past year. The revenue growth to-date has primarily been the result of increased reimbursable work. As we move through fiscal 2023, we expect a similar level of revenue in the second quarter and then expect growth from the recent and pending awards.  As expected, our gross margins improved to 6.2% in the quarter, which is the highest it has been in more than two years. The drivers to higher gross margin are directly related to improvement in the three issues I previously outlined. The strong project bookings are resulting in an improved backlog profile.  We continue to increase revenue volume, which has reduced the negative impact of under recovered overhead, under recovery of construction overhead costs improved significantly impacting gross margins by 2.8%, as compared to an average of 4.1% in fiscal 2022, and project outcomes have improved, especially in the Storage and Terminal Solutions segment.  Our SG&A was $16.8 million in the quarter as worked to continue to hold overhead costs low, despite the negative impact of inflation. We also incurred $1.3 million of restructuring costs as we continue our transformation efforts toward increasing the efficiency and effectiveness of our back office support services.  We expect to incur a similar level of costs in the second quarter. Finally, we incurred other expenses of $1.1 million associated with currency fluctuations. As expected, our effective tax rate was zero in the quarter, which is our projection for the full fiscal year. Our continued revenue growth and improved margins produced bottom line results significantly better than prior periods. Our net loss for the quarter was $6.5 million or $0.24 per share. On an adjusted basis, our net loss was $4.2 million and EPS was a loss of $0.15. Finally, our adjusted EBITDA improved to a positive $0.8 million. Now turning to our segments. In Utility and Power Infrastructure, revenue was $44.9 million which was lower than previous quarters as we are in the final completion stages of a couple of Peak Shaving projects that are carrying low margins. We expect modest revenue volume improvement in this segment in fiscal 2023 as new capital projects ramp up. The first quarter gross margin was 3.8%, which was an improvement from previous quarters due to an improving backlog portfolio and strong execution on electrical and T&D work. As a result, the segment operating income almost returned to a breakeven level.  In process and industrial facilities, revenue of $86.6 million continued at a strong level. Gross margin improved to 5% due to strong execution on refinery, renewable diesel, mining and minerals and thermal vacuum chamber work, partially offset by work on gas processing.  The segment produced operating income that was slightly positive. And finally, in Storage and Terminal Solutions, which produced the strongest results for the quarter, revenue increased to $76.9 million related to LNG and other capital projects. We expect to see revenue increase further in this segment in the second half of the year based on new and expected project awards.  The gross margin improved significantly to 9.8% in the quarter. This was driven by strong execution, and improving portfolio mix and better recovery of construction overhead costs. In addition, the tank products business produced a record quarter.  The increased revenue and strong margins resulted in a positive operating income of 4.4% in the quarter, which is the highest since the third quarter of fiscal 2020. Now turning to liquidity. At September 30, 2022, we had total liquidity of $56.6 million and $15 million in debt. Liquidity is comprised of $14.3 million of unrestricted cash and cash equivalents and $42.3 million of borrowing availability under the ABL facility. The company also has $25 million of restricted cash to support the ABL facility. As a result of rising revenue volumes, especially for cost reimbursable and maintenance type work, our investment in working capital has increased during the first quarter of fiscal 2023, which is the primary driver of a temporary decrease in liquidity since June 30, 2022.  We have previously communicated that we will experience significant fluctuation in working capital demands based upon the mix of work and timing of project cash flows. This is why we strive to maintain a conservative balance sheet.  Based on the forecasted and mix of work, including increased capital projects, the company expects its liquidity position to improve through the remainder of the fiscal year. Overall, we are pleased to see the improvements achieved in the first quarter and expect to see additional improvement as we move through the fiscal year.  On a consolidated basis, we expect the second quarter revenue and profitability to be at a level similar to the first quarter. As we move through the second half of the fiscal year, we should see additional benefit from recent and anticipated project awards that will result in strong revenue growth as well as improving margins and profitability.  We will now open for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of John Franzreb with Sidoti. Your line is open.
John Franzreb: Good morning, everyone, and thanks for taking the questions.
John Hewitt: Hi John!
John Franzreb: I guess I’d like to start with the opportunity pipeline. It’s up nearly $1 billion from previous quarter. Kevin, what’s driving the opportunity pipeline such a significant sequential increase?
Kevin Cavanah: So we’re seeing a lot of activity in specialty vessel storage. We’re seeing a lot of activity in hydrogen-related projects, we’re seeing a lot of activity in LNG related projects around peak shaving, and so some of those projects that we knew were in the works with some of our core clients are starting to come in-house now and as a request for pricing and so they are adding into our opportunity portfolio.  And I would just in general, across majority of our segments we’re seeing more projects come out of our clients engineering and departments as ready-to-go projects that they are interested in, so that’s the reason for decline.
John Franzreb: Okay. Since you brought that up, what’s the outlook on the utility side of the business? Is that set to improve or is it still going to be a little bit tough sweating in the near term?
John Hewitt: No, I think from a volume perspective, as Kevin said in his comments, in that segment is both electrical infrastructure work we do, but also utility peak shavers. We’ve got 1 job that we’re wrapping up. It’s in start-up and commissioning now, that’s going well. You know we’re going to be substantially complete there by the end of the calendar year and you know so that’s – so those revenues are diminished.  We just booked as we said in the press release another peak shaving facility, albeit a little smaller than the ones we had booked in the past. And so we expect the revenues on that from engineering and materials to start flowing into that segment here over the next two quarters. And then you know there’s opportunity for us to start booking some other peak shaving facilities here, probably into our third quarter, starting the fourth.  And so a lot of the revenues – the majority of the revenues in that segment, at least in the near term are going to be more Electrical Infrastructure work. But certainly we have an expectation here as we look out over the next over the next two or three quarters. We’re going to see backlog there improve and revenues.
John Franzreb: And when you talk about some of the lower priced jobs that you booked during the downturn, they were supposed to all be worked through by the end of this quarter that we’re currently in. Is that still the case? And are they largely in the Utility and Power Infrastructure business or are they spread out more than I give credit to?
John Hewitt: No, they were – the projects that we had the most concern about were in the Utility, the UPI segment and in Process and Industrial Facilities. And so, you know we’re continuing to work through really one of those projects, but it will be complete here in the third quarter, substantially complete in the third quarter.
John Franzreb: In the third quarter, got it. And just one last question, I guess Kevin kind of finished on this note. If I heard correctly, working capital requirements were troughing if you will during this quarter and it should be improving for the balance of the year. Did I understand that properly?
Kevin Cavanah: Yes, you got that right. So we’ve – during the first quarter, a lot of reimbursable activity. Reimbursable work is a higher percentage of revenue than normal. So I think moving forward, I think you know, if you look back the growth in fiscal ‘22 of revenue and what we’ve had so far in the first part of the year, it’s all reimbursable activity.  From this point forward I think the growth is going to be all capital type work. That will be the bulk of it, and so that’s got a different cash flow curve than the reimbursable stuff. So you are correct, and so I think that change in mix will result in you have to see cash – positive cash beginning in Q2.
John Franzreb: Okay, perfect! Thanks guys. I’ll get back in the queue.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Brent Thielman with D.A. Davidson. Your line is open.
Brent Thielman: Great! Thanks, good morning. Hey John! One of the things I guess I remember was sort of an absence of kind of larger project opportunities, you know call it 12 months or the last couple of years that you know allow you to better leverage the workforce. I’m just wondering if you could compare the visibility you have into those types of prospects today and the pipeline you spoke about maybe versus what you had seen previously.
John Hewitt: I think the – I’d say the average size of the projects in the opportunity pipeline have increased over the – through the course of the last probably 12 months, and the readiness of those clients and the quality of those clients has accelerated and improved. And so I think it’s a combination of all of those things, it’s coming together at a good time for us to start adding some quality and larger scale, longer-term backlog.
Kevin Cavanah: Yes, and I think if you look at it just numerically, the – we’ve already got two projects awarded in this fiscal year that are larger than any award in either fiscal ‘21 or fiscal ‘22.
Brent Thielman: Yes, yes, that’s helpful. And then I seem to remember you know, previously you know the LNG peak shaving prospects were pretty selected. It sounds like you got a host of opportunities kind of opening up now. Maybe if you could just kind of shed any light on how many of those you’re potentially pursuing versus what you saw 12 months ago and have historically been good opportunities for you?
John Hewitt: Yes, I think it was probably a gap probably in the last 18 months of any kind of large scale peak shaving opportunities that at least were in our opportunity pipeline, and so today you look at it and there’s a full – there’s a combination.  So there’s the full LNG peak shaving facility or an upgrade to a facility, and there’s probably a handful of those. And then there’s a lot of opportunity of small scale repair and upgrade projects that are out there in the market. You know I think as we’ve said in the past, it is about existing in the current utility fleet, it’s around 100 peak shaving facilities that were built in the ‘70s and ‘80s and many of those that are becoming more important to the local utilities now to operate, you know needed upgraded. And one of the fortunate things about it is our engineering group, which has a specialty in cryogenic storage built a lot of those or designed a lot of those facilities.  So it gives them a bit of a competitive benefit because our clients will come directly to us, because they know there’s that legacy associated with their facility. And they’re not necessarily huge projects. They could be kind of projects in the $5 million to $15 million range, and then you’ve got a handful of projects that are ranging from the $70 million, $80 million range, up to the $350 million range.
Brent Thielman: Okay. And I know business sort of evolved towards LNG, hydrogen, NGL, things like that. But just curious if there’s any sort of green shoots on the crude side and whether any project prospects are starting to and pop up there.
John Hewitt: Yes, we have some prospects in our system for crude storage. I think one of the things that’s kind of hurting that market a little bit is storage right now for crude is pretty cheap. You look at – we’re – what’s 30 minutes from our office here or 45 minutes from our office in Cushing, you know a majority of the storage in Cushing is empty, and the crude’s flowing in and flowing out and there’s very little retention.  And so there is the occasional new crude storage tanks out there that we are bidding. We’ve got you know probably a couple in our backlog, but it’s nowhere near the volume that it used to be. But certainly there are some clients that we have been talking with about, either expanding their storage or building new storage either to connect into the logistic network as it makes sense.  Some of them, there’s a couple of clients out there that are trying to create a connection to Europe for crude, based on what’s going on in Eastern Europe. So there is some talk, there is some activity out there, but nothing significant this near term.
Brent Thielman: Yes, okay. And then John, one of the kind of repeating theme seems like this earnings season in the industry has just been delays in equipment, other things in the supply chain sort of moving project schedules around. I’m just wondering, as you’re starting to pick up a lot more work, can you just talk about what you all are doing to kind of protect yourselves, shield yourselves from the stuff I assume is going to continue on.
John Hewitt: Yes, sure. So we’re – you know we sort of feel like – so we caught and it certainly impacted our business here over the last 18 months. You know we caught that upturn and that, when the global economy rebounded from the pandemic, you know we caught and got caught contractually with a lot of supply chain issues, and so I think we’re sort of at the top of that curve. That curve is starting to come back down. We are seeing some prices start to come down. Delivery, you know particularly around anything kind of with high alloy metal content or electrical components continues to be delayed. We know that. We’re including that in our project pricing and schedules and in a lot of cases we’re uncomfortable with our ability to meet that commitment. We’ve been able to work with our clients on protecting that risk to our business.
Brent Thielman: Okay, okay. I appreciate all the comments. Best of luck!
John Hewitt: Sure.
Operator: Thank you. I’m showing no further questions in the queue. I would now like to turn the call back over to John Hewitt for closing remarks.
John Hewitt: Well, I appreciate everybody joining us for today’s call, and I certainly appreciate your commitment and continued support of Matrix Service Company. We look forward to talking to you further as we move through the year. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.